Operator: Hello, ladies and gentlemen. Welcome to McEwen's Second Quarter 2025 Operating and Financial Results Conference Call. Present from the company today are Rob McEwen, Chairman and Chief Owner; William Shaver, Chief Operating Officer; Perry Ing, Chief Financial Officer; Jeff Chan, Vice President, Finance; Stefan Spears, Vice President, Corporate Development; Michael Meding, Vice President and General Manager of McEwen Copper; and Michael Swistun, President and CEO of Canadian Gold Corp. [Operator Instructions] I will now turn the call over to Mr. Rob McEwen, Chief Owner. Please go ahead, sir.
Robert Ross McEwen: Thank you, operator. Good morning, and welcome, fellow shareholders. Ladies and gentlemen, today, we're going to share with you our vision of the future for McEwen Inc. and how our achievements in the first half of this year and our outlook for the balance of this year will add to the momentum to reach our goal of doubling our annual gold and silver production to 250,000 to 300,000 gold equivalent ounces by 2030. As you know, we're big believers in exploration that it is the growth engine of the mining industry, and we're big believers in the potential of our properties that will be revealed by exploration. In the past 2.5 years, we've invested $51 million in exploration. And recent drill results have been quite exciting, building on a resource base and providing a solid foundation for increasing production, extending mine life and lowering production costs. Just one example, it's a beautiful assay result and was the discovery of high grade at our Froome West zone of 36 grams over 10 meters. That's equivalent to more than 1 ounce over 32 feet. I should point out that the Froome mine is slated to close this year and now has a promise of a longer life and more potential. So let's talk about '25, the second quarter. Financially, we have a much -- it's a much better picture than it was a year ago. And I have to say that was certainly helped by higher gold, silver and copper prices. We have a healthier treasury currently at $54 million, up from $14 million a year ago. Our working capital of $62 million versus a negative $7 million at the end of last year. Our adjusted EBITDA of $17.3 million or $0.32 a share, more than double what it was in the comparable period a year ago. So I'm looking at this and saying, we've got a lot of catalysts to move us towards our production goal of 250,000 to 300,000 gold equivalent ounces by 2030. And I'd just like to share those with you. We've got resource updates coming out of Nevada from the Timberline property bought, but there's the Windfall and Lookout Mountain projects that are close to the Gold Bar mine, and we're looking at permitting that. It's been initiated. There's a completion of the acquisition of Canadian Gold Corp. And today, we have a guest speaker, the President of Canadian Gold Corp to speak about that company and the properties they have, the exciting aspects of becoming part of McEwen Mining. There is a pre-feasibility study coming out in the first half of next year for Grey Fox, which will be lifting our production in the Timmins district. We're just going to ask Bill Shaver, our Chief Operating Officer, to speak about our production. Our costs were a little high in the first half of this year but are expected to go down as production increases both at the Fox Complex and Gold Bar. Bill, could you jump in there?
William M. Shaver: Yes. Thank you very much, Rob, and welcome, everyone, to our call. I hope you all got back on the line. First of all, I'd just like to speak for a short moment about our safety record, which continues to be very, very good at McEwen. There have been no lost time accidents this year, and Mexico is now celebrating 1.5 years, Timmins 3.5 years and Nevada has worked over 5 years now without a lost time injury, and that is exemplary, and we're proud of that performance and our sites are proud of their performance. And as Rob has mentioned, our production in Q2 was slightly behind our objectives for the quarter for some reasons, some related to manpower issues and to the impact of the stripping at Gold Bar. But now we have ourselves pretty well positioned to catch up our production in the second half. We've also increased the number of ounces of material that are on our leach pad that are not yet under leach. So that will help the second half as well. And as Rob mentioned, the Froome mine will now continue well into 2026, and we're continuing to drill there. And so we see the future of the Froome West deposit keeping Froome in production into the third quarter of 2026 for sure and perhaps longer because we're still diamond drilling there looking for the final extensions of these ore zones. The development of the stock ramp is now going reasonably well and according to expectation. Right now, we're exceeding the rate that we have in our schedule of 6 meters a day. So this will allow the ramp to access the fourth level of the stockpile by year-end 2025. And as we mentioned, we already have access to the old part of the mine via the old stock mine shaft, which we have dewatered down to the fourth level, and we're in the midst of rehabilitating the development that is underground at the present time so that when we break into the mine, we'll be in a good position to start production as quickly as possible. Yes, the Grey Fox PEA study that we're doing on the Grey Fox deposit has lots of potential for attaining the objectives, the long-term objectives of being in the 200,000 to 250,000 ounces per year. That study, as Rob said, will be completed in the second quarter. The economics of that project are very robust with both underground and open pit components at this stage. So we're looking forward to starting the permitting process so that we can hit the ground running as quickly after we get all of the components of the study in place. Initially, the ore will be going to the stock mill. However, longer term, we have a concept which will see us having a mill over in the vicinity of the old Froome mine. We're very happy to have Michael Swistun here this morning from Canadian Gold Corp, and we're looking forward to closing that acquisition. And that has -- is a really good fit into our organization. It will be a relatively high grade operation in a mine-friendly jurisdiction with the potential for hiring local mining people who are out now not at work. So I guess in summary, we see the future as being very positive. We have lots of scope to continue our growth, and we're looking for more opportunities as we move into the future. And we're particularly happy about what we see as a successful second half of this year. So I'll turn it back over to you, Rob.
Robert Ross McEwen: Thank you, Bill. We gave the introduction to Michael. Why don't we use this opportunity to ask Michael Swistun how Canadian Gold Corp. looks and what he sees its future to be.
Michael J. Swistun: Thank you, Rob, yes. And I'm pretty excited to be on the first McEwen call. It's an exciting time for Canadian Gold Corp. We have a very interesting property in the Tartan property in Manitoba. The story of Tartan, just as a quick overview is that it was a mine that operated for only 2 years in the 1987 to 1988 and early to '89, produced about 40 -- just over 40,000 ounces of gold. It shut down because of the core economics of gold at the time and, frankly, having too much depth. It's that dormant and then it was spun out of core resources. In 2017, there was a 43-101 done that showed 240,000 ounces with another 37,000 ounces inferred. The 240,000 ounces were at an average grade of 6.8 grams per tonne -- my mistake, 6.3 grams per tonne. And that resource estimate was really contained into 2 primary zones from that initial mine, which was what we called main zone, and that 43-101 was based on a depth to 575 meters vertical depth from surface. And then the South zone, which is a parallel zone separated by 100 meters laterally that had -- the 43-101 only went down to just over 225 meters vertical depth. In the last 4 years, we've drilled 27,000 meters of new holes, 60 new holes into primarily the main zone and extended the resource, what we found for resource down to 1,000 meters, consistently finding mineable widths and high grades consistent with what was in the 2017 resource estimate. And what we're actually finding at depth when we get down to 1 hole at 890 vertical meters from surface, we hit an interval of 53 meters of width at 4.3 grams per tonne with an intersect of over 12 grams per tonne over 8 meters. So these zones lie on what's called the Tartan Shear Zone, which is the geological structure that runs for almost over 30 kilometers east to west. The Tartan mine lies on that. The story of Tartan for us is that we were progressing with exploration. We're in our fourth phase of drilling on the site right now, and we were going to conclude that at the end of the year and then move to an updated 43-101 and PEA with an idea to accelerating into a mine restart. What the opportunity with McEwen brings to this project is an ability to really step that up and shorten the time line to get back in production. This is a ramp -- there's an existing ramp down to 325 meters that lies right between the two primary mineralized zones. And there's power to the site, road access to the site. It's 20 kilometers away from the town of Flin Flon, which is a real town, has a Walmart and a Canadian Tire and precludes the need for us to have a camp. So all of the elements are in there for a very accelerated mine restart. We have had excellent relations with the government of Manitoba. The government of Manitoba just recently had celebrated the Alamos project at Lynn Lake, a little further north from us, which is going to go in production in 2028. They view our project at Tartan as an ability to revitalize Flin Flon, which was a Hudbay town for -- going back to the 1930s but has had the primary mine VMS operation shutdown. So we are in an area that has great opportunity. This year, we have added two properties to the west of us. One property we optioned from Hudbay, which added an additional 36.5 square kilometers and 8 kilometers of the Tartan Shear Zone to our land base. We're on the property right now doing some surface work, reconfirming work that was done back in the 1980s. And we've also optioned from Searchlight Resources, a property we call Flin Flon North, which actually runs into Saskatchewan. So it gives us a combined control of that Tartan Shear Zone of about 29.5 kilometers of that zone. All the way along there, there has been historic high-grade mineralization's that have been found of gold. And this is a much bigger story than when I joined the company just over a year ago. And I couldn't be more excited about getting somebody involved like McEwen that can -- as a company that can bring these resources and really help us accelerate us into the restart. I don't want to take the whole conference call. I can go on. I'm pretty excited about it, so I can go on along. So I'll just end it there, and I'll wait for questions.
Robert Ross McEwen: Thank you, Mike. That's great. I'd now like to call on another Michael, Michael Meding, who is the Vice President and General Manager of McEwen Copper to just give us an update on the feasibility on RIGI application and the project, the political environment in Argentina.
Michael Meding: Thank you so much, Rob. Good day, everyone. I'm pleased to present the latest updates on McEwen Copper and our flagship Los Azules Project in Argentina. First of all, our commitment to safety remains our highest priority. I'm proud to report another quarter with 0 incidents. We have now surpassed 1.8 million work hours without a lost time incident, a record we've maintained since July of last year. This achievement is a testament to the dedication of our entire team on the ground. Financially, we invested $15.6 million during the second quarter, driving significant progress towards the publication of our definitive feasibility study, which we aim to deliver end of the third quarter of 2025. Our engineering teams are diligently advancing the study with a sharp focus on optimizing the project economics. We are actively refining cost estimates to reflect current market conditions and implementing strategies to reduce upfront capital expenditures through enhancements to the mine plan, construction schedule and infrastructure layout. Key priorities for the upcoming quarter include finalizing geotechnical inputs and completing an optimized mine schedule. We are collaborating with a renowned Whittle Consulting on extended strategic mine planning. This work covers both our base case, which utilizes conventional bioheap leaching and scenarios incorporating Rio Tinto's innovative Nuton technology. The results will finalize our life of mine production profile, capital and operating cost estimates and the heap leach design. On the regulatory front, we have taken major steps to secure long-term stability and benefits for the project. We submitted our initial application for Argentina's Regime for the Incentive of Large Investments, or RIGI, in February. As the project has advanced significantly, we submitted a revised consolidated application in July to streamline the approval process. Furthermore, we see another very positive development in Argentina's economic policy. The government today issued Decree 563, which amongst others, eliminates the export duty for copper, reducing it from a potential 4.5% to 8% down to 0%. While the RIGI framework already provides for 0 export duties after 3 years, this decree offers immediate benefits and reinforce the government's commitment to improving project economics for the mining sector. In the field, our exploration and development teams have had a productive quarter. We successfully completed the necessary geotechnical, hydrogeological and combination drilling for the feasibility study and finalized our updated resource model. Excitingly, our exploration work has identified three copper targets nearby, Mercedes, Tango, Branca, which we plan to drill in the late fall. We look forward to sharing more details on our progress at several upcoming events. In September, you can find us at the Jefferies Industrial Conference in New York, the Precious Metals Summit in Beaver Creek, the Mining Forum Americas in Colorado Springs and the Latin America Day in Germany. In October, we will be at the Nordic Funds & Mines Summit, the RBC Copper Development Summit in Toronto and the LME Week in London.
Robert Ross McEwen: Perry Ing will just now speak; he is our Chief Financial Officer on some points of elaboration.
Perry Y. Ing: Thanks, Rob. Good morning, everyone. So again, I think we had a very successful second quarter. As Rob highlighted, both our growth in profitability and adjusted EBITDA. Just a couple of points I'll make in terms of why we feel confident in terms of our overall plan and cash generation for 2025. I note we did have $13 million of inventory build in the first half, primarily due to additions to the heap leach pad, as Bill pointed out, at Gold Bar in Nevada, as well as significant increases in circuit inventory as well. So $13 million is kind of the cost base of that. If you look at on a realized gold basis, we're looking at over $20 million, which will be released between the third -- primarily between the third and fourth quarters of this year. And just noting in terms of our treasury, in addition to the $54 million in cash that Rob mentioned, we also have $16 million in marketable securities, of which we have significant unrealized gains on. So in terms of our cash and marketable securities total balance, it's approximately $70 million. And we do see despite significant spending on the stock grant, we expect to continue to add to our treasury balance between the third and fourth quarters of this year. So overall, I think we are in a sound financial position. And our bonds from our convertible notes are trading well, well above par. And overall, we're well positioned to execute the growth plans that Rob outlined.
Robert Ross McEwen: Thank you, Perry. I'd like to conclude with a statement on our performance. And going from September of '22 when we closed our first financing on the Q1 copper until today, well, until August 6. We are up 263% as opposed to the GDX index of the seniors up just under 150%, GDXJ up just over 150%, NASDAQ up 80%, gold up just under 100% silver up 112%, copper up 29% and the Dow up 40%. I'd just like to say that the performance we're experiencing, I believe, is due to our diversified asset base composed of gold, silver production, which is the foundation of wealth preservation in my mind, and of copper, which is a critical metal for modern civilization, for the energy transition. And as Goldman Sachs says, it's the new oil. I think we have a very good project. We have excellent exploration potential on our properties and our production growth profile is only just starting. So with that, I'd like to open the session for questions. And hopefully, our internet connection doesn't break off with the first question.
Operator: [Operator Instructions] Your first question today comes from the line of Heiko Ihle from H.C. Wainwright.
Case Bongirne: This is Case on behalf of Heiko here today. Two questions. First, at San José, the production was down a bit, just lower grades, recovery rates. Next week, we'll be halfway through Q3. Can you give us a bit of color about what you're seeing at site? I know production growth in the second half is a theme. So presumably, this is just a blip, and we can leave our models the way they were.
Robert Ross McEwen: Perry will address that question.
Perry Y. Ing: Yes. Thanks, Case. So we have been working with the team at [indiscernible] at site on this. They have experienced lower recovery rates than they were planning. I think recoveries are kind of in the low to mid-80s rather than in the high 80s. There's -- attributed some of those costs to the ore blend, which they're trying to resolve at site as well, throughput is, I would say, slightly above budget, but the grade has been a little bit below plan as well. So as of now, together, we have not adjusted our expectations for 2025 as a whole. So far, July has been pretty good, and we do expect the mine to achieve full year guidance. But obviously, we will update that with our third quarter results.
Case Bongirne: Okay. Awesome. Second question, first, congrats on the Canadian Gold deal. You have a lot of strong working capital right now, but still a decent amount of debt, maybe a philosophical question on my end, but have your thoughts on your balance sheet changed at all when compared to the beginning of the year for M&A versus debt repayment?
Robert Ross McEwen: Perry?
Perry Y. Ing: Yes. I mean, I think first thing first is to execute on our growth plan. I mean, we expect to be able to undertake a lot of that with organic growth from free cash flow from our existing operations. As we increase production sequentially, I think you'll see operating cash flow being able to meet our capital needs. What we're trying to do with our growth plan is make everything bite-sized so that we don't have to undertake $100 million of CapEx in any given year. We see Grey Fox as being a mine, we can start initially with underground and then proceeding to an open pit later on in the mine life as well as Michael Swistun was outlining in terms of Tartan, there's already a lot of underground development there. We don't see that as $100 million CapEx. We see that being able to bring that in as a small high-grade 500 tonne per day operation on a modest budget and scaling up from that. So I would say in terms of our treasury, we will use our existing treasury wisely, we will continue to look for M&A opportunities. I think Rob has always looked for both exploration and other opportunities as they present themselves. But we think Canadian Gold is a great project and as well Grey Fox and then our Timberline project. Overall, we're very happy with our asset base, but we always continue to keep our eyes on the ground as well.
Operator: Your next question comes from the line of Mike Kozak from Cantor Fitzgerald.
Michael Peter Kozak: Two questions from me. First, you're now guiding to the feasibility study at Los Azules in late Q3. Is that still contingent upon a capital raise within the copper subsidiary? And if that's still the case, how much are we talking about?
Michael Meding: So if I may take that. No, we are fine to the feasibility. That's not a problem. We guided towards the end of Q3, mostly because of additional optimization work that we're doing. We have seen some cost increases versus the PEA that we published in June 2023. And we wanted to take a little bit more time to optimize versus what we have seen in Argentina in terms of U.S. dollar cost increases as well as internationally. And we wanted to have a little bit more time to also do package negotiations with potential suppliers, which, relatively speaking, then offsets part of the -- of those cost increases. And we are thinking of a slightly different production profile that should fit better, and we think will be more interesting for investors going forward. But coming back to the initial part of your question, we are financed towards the feasibility that is not a problem.
Michael Peter Kozak: Okay. That's fantastic. I appreciate that, Michael. And then my second question is kind of along the same similar line. You submitted a revised RIGI application in mid-July. The original one was submitted in February. So I was just -- you gave a bit of color in your prepared remarks, but I was hoping for a bit more detail. Did you get any feedback from your first February application that's led you to revise this one? Or is it just the change in scope? Any more detail you can provide would be very helpful.
Michael Meding: Absolutely. So generally speaking, the interaction with the regulatory body, so the State Secretary, Daniel Gonzalez and the Secretary of Mining, Luis Lucero flawless. We have lots of thought on that. We answered lots of questions that we had in the meantime, all of them technical in nature. What happened is that you remember that we filed in February, we filed $227 million initial and then a phased expansion with the CapEx. We just consolidated the two. That's the big change. Why did we do that? Because we think that it is easier for the regulator to fit us in their understanding of the applicable law, and that is the only change we did. We think that because already in the initial filing, the information that we've been giving was encompassing the whole project, this should now streamline the approval process, and we expect the regulatory body to approve us relatively soon.
Operator: Your next question comes from the line of Don DeMarco from National Bank.
Don DeMarco: Rob, congratulations on the quarter and the acquisition of Canadian Gold Corp and so on. Maybe, Mike, if I could just continue on the discussion related to Los Azules. Can you just confirm, I think I heard you say that you're expecting approval soon. And -- yes, I think that's probably about it. I mean the -- we're encouraged to hear the reduced export duty you mentioned. But of course, if you get RIGI approved, that wouldn't even matter, right? So you're looking -- thinking approval soon before the DFS, somewhere along that time frame?
Michael Meding: It's a bit difficult to say. I mean the regulations lay out 45 days for the regulator to come back with an approval or rejection. However, any time there is an information request that clock stops. So it's a little bit like playing check. We are very quick with responding to information requests. But how long the process will take is a little bit difficult to say. It could be 2 months, it could be 3 months, it could be 1 month. It depends on any kind of potential questions that the regulatory agencies may raise in the meantime and the time that we need to respond to those. Having said that, in the past, we have been very quick. We think that there's a good understanding of our project on a national level. So we are cautiously optimistic.
Don DeMarco: Okay. And are you -- is there any time pressures from your end? I mean, if it is 2 months, 3 months or even 6 months, I mean, you can accommodate any kind of whatever the decision time frame is. Is that right?
Michael Meding: Yes. But on the other hand, it is very helpful. I mean we are aiming for an IPO going forward, right? So obviously, having the definitive bankable feasibility out and having the RIGI approval is making a significant difference in terms of potential investor interest. Therefore, for us, we think that we should wait for the RIGI approval before going for an IPO. It's not required, but I think it will be better.
Don DeMarco: Okay. And then finally, maybe just a comment. I mean, you applied in February, you resubmitted an application in July. It sounds like things are really moving back and forth. Has there -- how many other applications have been submitted? And is there any risk of like the whole review process getting backlogged?
Michael Meding: So we are the only copper project that has applied for the RIGI so far. We expect others to file soon, namely Vicuña. But when this is going to take place, we don't know. What I can tell you, however, is that there is increased interest from the national government to speed up the processes. I mean, remember, this is a totally new regulatory framework. So obviously, the involved ministries, they want to do appropriate due diligence, appropriate work. So I guess that going forward, while there should be more applications coming in, I don't think that this will lead to a backlog on the regulatory body side.
Don DeMarco: Okay. Okay. Well, that's great. Maybe just a quick question on Canadian Gold Corp then. Turning to the other Mike. So Mike, you mentioned that the Tartan mine had operated for 2 years. Can you just give some comment on the condition of the infrastructure and some of the key items that are needed to be updated in order to restart both in terms of underground development or processing?
Michael J. Swistun: Sure. Yes, the ramp is flooded, like we'll have to dewater that. And we estimate that, that will cost somewhere in the vicinity of about $3 million to go through a dewatering process. It's a relatively -- it was -- the ramp was built in the '80s. So it's a relatively modern technology. And from what we understand from folks that were underground there, it was done well. So we're hopeful once we get into that, that will look good. The road infrastructure and the power infrastructure, the hydro line in is intact. We actually had a forest fire, extensive forest fires in the Flin Flon area and a number of the wooden poles for the hydro line were burned. And I got to say Manitoba Hydro was right on it. They've already restored the -- replaced the poles that were damaged. So that's back up. At the site itself, there was a mill and a crushing circuit that was present at the -- from the old thing -- from the old operations. Those weren't maintained and they are obsolete. So we would look at a new crushing circuit and mill. The tailings containment, which is, of course, very important, has been -- is still in very good condition and has a lot of capacity because the mine only operated for essentially 2 years. So we're really excited about that. And from -- when we're talking with people inside the province of Manitoba, what they're excited about is that we can restart this within the surface footprint of the old operation. And so that's also very appealing that we don't have to disturb any forest or any of the surrounding lands. So a lot of things to -- that are obviously a plus. And the big thing is being that close to the town of Flin Flon where we don't actually have to have a camp, and our workforce can go home at night.
Don DeMarco: Okay. Great. And then just final question. What do you think the timing of a potential restart might be? I mean, is it going to be -- you do implement a drilling program and kind of see how that goes for a little while, potentially even a year plus? Or are you really kind of going to head directly toward a PEA and then get a little more clarity on when you might restart it?
Michael J. Swistun: Well, as an independent, prior to the negotiations with McEwen and the LOI with McEwen, our intention was to finish the Phase 4 drill program at the end of this year and immediately go to an updated 43-101, an updated resource estimate and immediately almost simultaneously a PEA. So that was our original plan. I still think that we're on for that. And then really, we have -- in terms of time lines for restarting the mine, we have spoken with the province. There is an existing mine permit for 500 tonne per day operation. We would be looking at amending that permit and essentially going and looking at putting it back in production pretty quickly. So again, it really is a mine restart. It's not -- we don't have to start from scratch, but clearly, we would be bringing in better technology and more environmentally benign practices that would improve the operation. So I think realistically, 2 to 3 years, we will be back in production.
Operator: Your next question comes from the line of Jake Sekelsky from Alliance Global Partner.
Jacob G. Sekelsky: So just building on the last question on the restart plans there. I'm just curious, from a high level, where do you see this acquisition fitting in the broader portfolio development queue and sort of from a capital allocation standpoint relative to growth plans at Fox?
Robert Ross McEwen: We're looking at a feasibility or PEA for Fox midyear. I'd say Tartan is probably running ahead of Fox right now in terms of timing.
Jacob G. Sekelsky: Got it. Okay. That's very helpful. And then just a quick one on permitting in Nevada. Are you able to provide any color on what that path forward and time line looks like at Windfall and Lookout Mountain once the resource is out later this year?
Robert Ross McEwen: Bill, would you...
William M. Shaver: Thank you. Yes. Thanks very much, Jake, for your question. Yes, the permitting in Nevada will take 2 to 3 years, but we'll -- we're going to work diligently to get those projects up and running as quickly as possible. And I think the -- we're now well on our way to establishing resources both at Windfall and the other surrounding area. We've had some discussions with i-80. I think the -- there are two types of property there. Some of the property is basically wholly owned by McEwen Mining and some of it is still BLM land. And the private part of the property can be developed relatively quickly. So it will be a case of figuring out what we actually want to do there. Are we going to put a leach pad down next to the ore body and then do the processing at Gold Bar. And I think that's where we're headed. But the other possibility is to work with i-80. They have some space that they -- that we've had a conversation with them about that might allow them or us to use part of their plant that's not being used at the present time. So some of that is news to come. But yes, we're really happy with the drilling that we're doing there, confirming the data that we got from the previous owners. That's all falling into place quite nicely. And now it's -- the next step will be to put together some kind of a study to put that together to get all the economics and so on. But at the present time, there's no plan to build a big plant on these properties. It will be a leach pad where we then truck carbon back over the Gold Bar. So it should be one that we're able to start very quickly after we get a permit.
Operator: And there are no further questions at this time. Mr. Rob McEwen, I turn the call back over to you.
Robert Ross McEwen: And thank you for your interest and look forward to sharing our advances as we go. Thank you.
Operator: This concludes today's call. You may now disconnect.